Operator: Greetings, and welcome to the Build-A-Bear Workshop Fourth Quarter and Fiscal Year 2019 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded.
 It is now my pleasure to introduce your host, Allison Malkin of ICR. Thank you. You may begin. 
Allison Malkin: Good morning. Thank you for joining us. With me today are Sharon Price John, CEO; and Voin Todorovic, CFO. For today's call, Sharon will begin with a discussion of our fourth quarter and fiscal year 2019 performance and review the progress made on our strategy. After, Voin will review the financials in more detail. We will then open the call to take your questions. 
 [Operator Instructions] Members of the media who may be on our call today should contact us after this conference call with your questions. Please note the call is being recorded and broadcast live via the internet. The earnings release is available on the Investor Relations portion of our corporate website. A replay of both our call and webcast will be available later today on the IR site.
 Before I turn the call over to management, I will remind everyone that forward-looking statements are inherently subject to risks and uncertainties. Actual results could differ materially from those currently anticipated. Due to a number of factors, including those set forth in the Risk Factors section in the company's annual report on Form 10-K. We undertake no obligation to revise any forward-looking statements.
 And now I would like to turn the call over to Sharon. 
Sharon John: Thank you, Allison. And good morning, everyone. I'm pleased to have the opportunity to discuss our fiscal 2019 fourth quarter and full year results with you. Although the year did not unfold on a bi-quarter basis as expected, we remained focused on our strategic growth initiatives and ultimately delivered results that met or exceeded our most recent guidance. Overall, 2019 was a solid year of solid progress in which we not only returned to profitability, but we also grew total revenues. We gained momentum across many areas of our business as we progressed our diversified initiatives, including expanding in the digital economy, continuing to evolve and diversify our retail model, better leveraging our robust loyalty club membership and monetizing the awareness, trust and affinity that a broad range of consumers have for our beloved brand. Our results for the quarter and the fiscal year include an increase in both net retail sales and commercial revenue delivering a 3% lift in total revenue for the quarter. These results were positively impacted by our ninth consecutive quarter of double-digit e-commerce growth, a consistent track record since we upgraded our platform in 2017, which contributed to the expansion in total revenue for the year. The top line growth contributed to pretax income of $7.6 million in the quarter, an improvement of over $14 million compared to the prior year's period on a GAAP basis, which was also buoyed by strategic use of promotional activity and disciplined expense management.
 Importantly, the positive quarter drove a return to profitability in fiscal 2019, an objective that we shared at the beginning of the fiscal year and subsequently achieved. And we finished the year with a solid balance sheet that showed a healthy cash position, again, within our recent guidance range with no borrowings on our credit facility.
 As we noted in our previous call, we saw some pressure early in the fourth quarter. However, as the holiday season progressed and momentum built, it ultimately led to positive sales for the period that carried through the end of the fiscal year. We attribute the improvement to several factors, including a shift in retail traffic patterns skewing later in the holiday season. In total, we saw increased consumer traffic in stores and online with store traffic swinging positive in mid-December, which carried throughout January, the final month of our fiscal year.
 Overall, based on our available data, Build-A-Bear outpaced national traffic trends. Our aggressive shift to increased digital marketing that not only drove e-commerce, but also benefited our retail store base and ultimately contributed to delivering an improved return on ad spend, an increase in bonus club activation with targeted communications using updated segmentation models and improving efficiency and message relevance. A focus on gift card sales, touting the gift of experience in our store, online and in other non-Build-A-Bear retail channels, which ultimately contributed to increased redemption levels post holiday, driving additional demand for personalized gifting, which delivered growth, both online and in stores, including advancement of our adult-to-adult offering. And finally, sales of products associated with our best-in-class movie partners. They gained momentum as the quarter progressed. We believe that several of these factors will continue to benefit our business as we further progress our key strategic initiatives in 2020, which I will discuss momentarily.
 As we have reiterated many times, we believe Build-A-Bear has continued to strategically evolve in an evolving retail, consumer and geopolitical environment. The vision and flexibility of our approach, balanced with the recognition of the greater potential of the brand to stretch beyond its historical limits of traditional mall-based retail was a key tenet to our ability to deliver our guidance in 2019. With that in mind, we are pleased by our year-end results, which have provided additional confidence that we are on the right track to achieve our longer term objectives, which includes sustained profitable growth for the company.
 As a reminder, the nexus of our strategy is to diversify and expand our retail model, while simultaneously building on our brand strength to add incremental profitable revenue streams with the goal of leveraging the synergy between retail and intellectual property initiatives to grow the entire business.
 Now let me turn to a discussion of 4 of our key goals for fiscal 2020. These include: accelerating our digital initiatives and further expanding e-commerce; leveraging our corporately managed retail portfolio while maintaining high levels of lease optionality; driving our commercial revenues, including third-party retail, outbound licensing and entertainment; and focusing on expense management and margin optimization. 
 First, addressing our goal to continue to accelerate our digital initiatives. As you may recall, having recognized the shift in consumer trends when I first joined the company, we have been executing a multiyear plan to more fully participate in the digital economy. This has included updating an aged IT infrastructure and adding capabilities in a systematic and sequential process. For example, most recently, we completed an upgrade to our warehouse management system, that is intended to improve efficiency and add new competencies.
 Dovetailing into these infrastructure investments is our announcement this morning, recognizing an expanded relationship with Salesforce as our digital and e-commerce platform partner. Salesforce's integrated consumer relationship management platform unites marketing, sales, commerce, service and more to give companies a single shared view of their customers. While we've been pleased with the progress that we've made in the digital space, we believe that this strategic partnership and cloud-based technology solution has the potential to be transformative, providing us a data-driven platform that can accelerate our growth rate over time by elevating and personalizing the consumer journeys and experiences of our guests across channels in order to improve conversion and sales, both online and in stores. We have set an aggressive time line to implement the platform and expect to have an expanded portfolio of capabilities by the time we go into the holiday season for 2020. While the team is already at work with Salesforce implementation, we expect to continue to deliver growth in e-commerce by offering innovative gifting solutions, leveraging our consumer data to increase guest retention and lifetime value. And expanding our aggressive shift to digital marketing channels to drive traffic both online and in stores.
 Our next initiative is to leverage our corporately managed retail portfolio while maintaining our real estate flexibility with high levels of lease optionality. Build-A-Bear's iconic interactive retail experience remains at the heart of our business model and brand building programs and while we expect traditional mall traffic to remain challenging, our goal is to continue to profitably operate our portfolio of stores. By maintaining the high level of strategic lease optionality that we put in place and focusing on optimizing profitability, we are able to continually and aggressively negotiate REIT terms for our corporately managed retail portfolio, with over 70% of leases having natural lease events over the next 3 years, we maintained significant flexibility to evolve our portfolio as needed. As we move forward, we expect to continue to give precedence to locations that expand consumer accessibility to our brand, with priority given to locations where today's families choose to go for shopping and entertainment. This diversification plan is inclusive of adding locations within select Walmart stores as well as opportunistic tourist locations, such as the store we recently opened at Knott's Berry Farm on both long-term and seasonal basis. 
 We have also been improving our retail productivity by operating in smaller spaces, leveraging the variety of store formats, that we've created, which allows us to effectively deliver our interactive retail experience in a wide range of settings, square footage requirements and time span. In fiscal 2020, we expect to have less total square footage but higher sales per square foot in our corporately managed portfolio as we had in 2019. I think it is also worth noting that we expect to have about half of all of our stores in our updated Discovery format by the end of this year.
 Next, driving commercial revenues include third -- including third-party retail, outbound licensing and entertainment. Commercial revenues grew an impressive 80% in fiscal 2019 and a margin-accretive rate. Specifically looking at the progress in third party retail, we've been developing this model in which we sell our products on a wholesale basis to other companies that, in turn, execute our retail experience. This model has several advantages for Build-A-Bear. These include little to no start-up capital expenditures to open a retail location, no direct operational overhead expenses, including both rent and labor, and the potential to leverage retail opportunities that tend to be family-centric, tourist-oriented locations.
 The model is also beneficial for our partners, who can take advantage of space and labor that they typically have readily available as well as being able to offer the power of the Build-A-Bear brand to their direct consumers. As noted, sales from third-party retail that are reported in our commercial revenues reflect wholesale pricing to select roster partners. These include Carnival Cruise Lines, Great Wolf Lodge, Landry's and Beaches Resorts. We are also working with several other companies that are on the early stages of testing, including military bases, Chuck E. Cheese and Marriott Resorts. We finished 2019 with 63rd party locations, an increase of 50% compared to the prior year-end.
 Now let me turn to our efforts to monetize the inherent value of our brand and owned intellectual properties. With the high levels of awareness and trust that consumers have for Build-A-Bear, we've recognized the opportunity to offer products in other consumer categories. In 2019, our licensing programs centered on toys, softlines and gifting with agreements covering over 20 categories. Notably, our branded licensed products were offered in over 7,000 retail doors throughout the year. As you may recall, our successful toy offering, the Build-A-Bear Stuffing Station was named to Walmart's Top Rated by Kids toy list for 2019 and is a product line that we expect to expand in the future, along with adding products in other toy categories. We also plan to have new offerings in softlines and bedding, fashion and accessories. And in sync with our gifting focus, we recently introduced a subscription box program in addition to a range of baby apparel and party supplies that are currently offered. Separately, we currently have a number of entertainment offerings in the pipeline for 2020 and beyond. These efforts include expansion of our programming on Build-A-Bear Radio, which recently shifted to the iHeart platform, movies with Sony Picture Worldwide Acquisitions and music with Warner Music Group's Arts division, among other exciting opportunities. 
 We expect to begin to deliver content into the marketplace later this year. We believe the memorable engagement that consumers have had with our iconic retail experience and the specific brands that will be featured in the entertainment, such as our Honey Girls, will drive interest in the content, which will then effectively act as a marketing tool to drive further retail purchases and drive our overall business model.
 And finally, in addition to these revenue-generating initiatives, we've returned to profitability in 2019. Our goal in 2020 is to focus on expense management and margin optimization. As we look forward, we are encouraged by the momentum thus far in 2020 with positive year-to-date results, fueled by successful Valentine's Day program that targeted adult gifters as well as our traditional family demographics, along with our seasonal products for the upcoming Easter period and owned intellectual properties we plan to have merchandise tied into upcoming movies, including Trolls: World Tour and Minions: The Rise of Gru.
 In addition, as you may have already heard, we also have plans to launch The Child from the groundbreaking Disney+ series, The Mandalorian. While we had planned to share annual guidance for fiscal 2020 on today's call that outlined ranges of expected growth in both total revenues and pretax profit, given the uncertainty and rapidly changing coronavirus situation, we believe it is prudent to refrain from providing detailed guidance at this time. We want to express our concern for the well-being of our associates, suppliers, partners and guests in this volatile environment.
 Separately, we are evaluating a number of shorter-term scenarios for the business while remaining focused on our strategy to achieve our longer term objectives.
 In closing, 2019 showed progress as we built upon the strategic insights, foundation and infrastructure that we have been working on for several years. We believe we have the right plan in place to continue to transform Build-A-Bear into more of an intellectual property company that is designed to leverage the experiential impact of our retail workshops to drive consumer interest and products and activities beyond retail.
 Finally, before I turn the call to Voin, I want to thank the entire team at Build-A-Bear from our talented designers to our dedicated Bear Builders, who make our iconic experience come to life in our stores for tens of millions of people each year around the world. This organization remained focused on achieving our goal of returning to profitability and delivering top line growth in 2019, supporting our stated belief that the 2018 results were an anomaly following what had been a consistent run of 4 prior years of sustained profitability. The team is looking forward to the opportunity and potential as we work to unlock the value and monetize the power of our brand.
 I will now turn the call over to Voin to review additional financial details. 
Vojin Todorovic: Thanks, Sharon. And good morning, everyone. During fiscal 2019, we delivered on our objective of returning to profitability following a challenging fiscal 2018. Our GAAP pretax results improved over $20 million compared to the prior year or about $8.7 million on an adjusted basis. We also saw a slight increase in total revenues. Including an over 80% expansion in our commercial revenue segment compared to 2018 as well as having a double-digit increase in e-commerce during each quarter of the fiscal year.
 By geography, total revenues increased 1.3% in North America and declined 5.3% in Europe, which is primarily driven by the United Kingdom operations. Specifically relating to the U.K., while we continue to be mindful that the economic conditions, they remain uncertain following Brexit, we saw some improvement in the overall trend with growth in the online channel. As you may recall, following the implementation of GDPR regulations in 2018, last year, we launched a new registration process for enrollment into our loyalty program, which has led to a significantly larger e-mail database, allowing us to actively market to more consumers. In addition to improving top line trends, we focused on increasing efficiencies and reducing expenses, including our real estate costs with a goal to stabilize the business.
 Now turning to our fourth quarter results. Total revenues were $104.6 million, an increase of 3% compared to the fourth quarter of fiscal 2018. Retail gross margin expanded approximately 450 basis points to 50.4% compared to the prior year. This expansion was driven by over 300 basis points of improvement related to leverage of our fixed occupancy expenses. This was a result of rent reductions through aggressive real estate portfolio management given the high level of lease optionality that we have maintained. In addition, we also delivered expansion in merchandise margin.
 SG&A was $45.1 million, a 400 basis point improvement as a percent of total revenue. This was driven by disciplined expense management, including lower marketing spend as we move to more efficient digital marketing programs, partially offset by an increase in incentive compensation. Combined, this drove a $14.2 million improvement in pretax results compared to the fiscal 2018 fourth quarter or a $6.1 million increase from the prior year on an adjusted basis.
 Turning to the fiscal year. Total revenues were $338.5 million, an increase of $2 million compared to fiscal 2018. Retail gross margin expanded 270 basis points to 45.4% compared to the prior year, including approximately 160 basis points related to the leverage of fixed occupancy costs with the remainder driven by expansion in merchandise margin.
 SG&A expenses were $152 million, a decrease of $5.1 million, primarily due to lower noncash charges compared to fiscal 2018. As I noted, combined, this drove an improvement of over $20 million in GAAP pretax income in fiscal 2019 compared to the prior year.
 Turning to the balance sheet. We ended the year with cash and cash equivalents of $26.7 million, a 49% increase compared to the prior year-end and no borrowings on our revolving credit line. We ended the fiscal year with approximately $53 million of consolidated inventories, representing a $5 million decrease compared to the prior year, which is consistent with the expectations we most recently shared. This reduction was primarily due to a change in the timing of in-transit inventory relative to the year-end of fiscal 2018. Capital expenditures totaled $12.4 million for the full fiscal year compared to $11.3 million in prior fiscal year. The increase in spend compared to the prior year is mainly related to the opening of 16 new Walmart locations. As it relates to our store base, the opening of the Walmart locations partially offset the closing of 17 underperforming stores primarily in traditional mall locations. We ended the year with 372 corporately managed locations, a decline of 1 store from fiscal 2018. We expect to continue to manage our flexible real estate portfolio with aggressive negotiations going forward.
 Finally, as it relates to fiscal 2020 guidance, as Sharon noted, we had planned to share expectations on today's call that reflected both top and bottom line growth, but given the rapidly changing environment, we are currently unable to accurately estimate the potential impact of the coronavirus. We recognize that there are multiple unknowns that could affect companies on a number of fronts, including sales, store traffic and supply chain, and we are actively evaluating scenarios in order to manage our business during this uncertainty. With that in mind, our evolution to a more diversified business model, our broad lease optionality, the continued enhancements of our e-commerce capabilities, our recently evolved sourcing base and our strong balance sheet, which includes no borrowings in our credit facility, should provide an increased level of flexibility.
 In closing, fiscal 2019 was a year where we returned to profitability, and grew our total revenues while advancing many of our overall strategic initiatives. While we noted that our 2020 year-to-date total revenue is up, the current circumstances require a necessary shift in focus. Our goal is to remain agile, weigh our options and make the best possible decisions for our wide range of stakeholders with a perspective for both the short and longer term.
 Now I will turn the call back over to the operator for questions. Operator? 
Operator: [Operator Instructions] Our first question comes from the line of Eric Beder with SCC Research. 
Eric Beder: Two questions here. One is, could you give us a little bit of update on what you're seeing at the Walmart stores for the holiday season? You did a significant ramp of those stores. And where is that going? And I guess, the other piece is in terms of store counts and other pieces, how should we be thinking about that going forward? You've done a good job of reducing the square footage, are we going to see kind of a little more aggressive in the store counts? 
Sharon John: Eric, it's Sharon. Yes, on the Walmart relationship, we highly value our relationship with the company, and we have been building out what we believe to be the right model for both of us moving forward. I think as we shared on our last call, we were working with Walmart to assess our current stores and evaluate the right metrics to make predictive -- have predictive analytics on what metrics actually allow us to choose the right locations of the many 3,000-plus locations that they have. We feel very confident that we've isolated some of those specific metrics that allow us to make the best choices because as we shared when we started the process with Walmart what we wanted to do was test a number of different types of locations so that we would have a good comparison contrast to make sure that when we did decide to roll -- when and if we decided to roll that we would roll with great confidence. So we're -- we believe we're at the point right now where we have a good assessment of what specific attributes tend to be more predictive of success and so we're feeling more confident about the potential as we evolve that relationship.
 Yes, as in many of our stores, we, of course, ramp up in the holiday season. We saw good results from that with Walmart as well as across the organization with our Merry Mission campaign as well as we saw, as I noted in the prepared remarks, some of our movie properties did see -- start to show some better momentum after we completed the third quarter call. So we're really quite positive about where we're headed with Walmart as a total relationship because as you also noted, they are -- inclusive of being a retail partner of ours, they are also our largest licensed partner. So a lot of intersections with the company. 
Vojin Todorovic: And then the second question that you asked, Eric, about the store count. We haven't provided a specific guidance as we continue to be very aggressive as we continue to negotiate our leases. We do have, as we mentioned, over 70% of our leases coming up for a natural lease event over the next 3 years. We continue to work on mitigating and reducing our rent expense in those particular locations. Our goal is, as we have stated before, to exit unprofitable stores during those times. But at the same time as we think about the store count and the number of occasions, we got to expand our horizon and think about the number of locations Build-A-Bear brand is present. We also shared that in our third-party retail locations, we grew that number by 50%, so from 40 to 60 locations. So we do want to have our brand present in a variety of different places. And we are looking for more of these asset-light models, if we can achieve them. But at the same time, we do want to make sure that we continue to run and operate a profitable portfolio stores. 
Sharon John: Yes, just to add. Sorry, Eric, I just wanted to say, to add on to Voin's comment. We are in the business of expanding the consumer accessibility to have this memorable experience. That's -- as I noted in the remarks, that is a tenant of our overarching strategy as we expand the brand into other categories into broader consumer bases. So we also, as we are evolving, and you may have noticed, we dropped a Salesforce press release this morning announcing the partnership that I also mentioned in the remarks. As we start to expand and drive into the digital economy, we're seeing a strong intersection between consumers that shop in our stores and online and feel like that having that much more robust view to our consumers and being able to create those journeys will -- has the potential to build both our in-store and online business. And we started to see some of that type of momentum in the fourth quarter. 
Operator: Our next question comes from the line of Stephanie Wissink with Jefferies. 
Ashley Helgans: This is Ashley Helgans on for Steph. The profit results were better than we had modeled. Can you talk about the biggest contributing factors to that improvement? And then year-to-date comments around the business being up were a positive. Are you seeing the home entertainment window for Frozen driving uptick in demand, or is that related to some owned brand initiatives? 
Vojin Todorovic: So I'll take the first question regarding the profit improvement. So Ashley, as you know, from the last year -- from the beginning of last fiscal year, we provided guidance that we expect to return back to profitability, and we will deliver on that objective. It was the team effort throughout the year that helped deliver those results. And it came in several different arenas. So like as we talked about diversification of our revenue streams. We have seen some really nice growth in our commercial revenue. We have seen double-digit growth in our e-comm business. We continue to put a lot of focus on the rent reductions and really leverage our occupancy cost that we were able to leverage with a small increase in total revenue for the year. We did expand our merchandise margin that talks about really disciplined that we are in still in the business and managing controllables that we talk about on a regular basis. So this is one of those things managing promotions, managing cost. We continue to do that stuff across the organization. And we are seeing things that are helping us deliver these results. In addition to these things that I mentioned, disciplined expense management was the key, so the whole year, the whole organization was focused to return back to the profitability, and I'm very pleased that we were able to achieve that goal. 
Sharon John: Concerning your second question, Ashley. Yes, we are -- we have seen positive year-to-date results. It's actually a number of things that have contributed to that. We have a very strong Valentine's on top of a strong Valentine's prior year. As we've expanded not just for our -- what we would call our traditional type of consumer or family consumer that focuses mainly on a younger child, we are expanding that Valentine's offering into adult-to-adult gifting and it's seeing a lot of success there. We have seen early success for our Easter offering, so that's also contributing. We -- also to your question about the home entertainment. We've seen some of these properties, particularly ones that we launched in later in the year, they have -- they are very strong properties with long tails. So yes, there we have continued to see some sales contribute to the overall increase associated with our movie properties. And finally, I have mentioned that although it's not direct sales, the impact of The Child and the announcement of The Child, also known as Baby Yoda associated with Star Wars Mandalorian series on Disney+, has increased interest in the brand. We've seen increased levels of retail traffic, online traffic, sign-ups for the child and generated quite a few impressions when during that launch. 
Operator: [Operator Instructions] Our next question comes from the line of Hamed Khorsand with BWS Financial. 
Hamed Khorsand: First off, I just wanted to follow-up on your comments right now. The increase that you've seen in Valentine and Easter so far, is that mostly or predominantly coming from online? Or is that in store? 
Sharon John: It's both. We're seeing increases in both, but of course, the majority of the sales are still in our stores. 
Hamed Khorsand: And is there an update as to when The Child would be released? 
Sharon John: Of course, we have not shared the specific date of the release of The Child. 
Hamed Khorsand: And my final question is, are you seeing any impact in your supply chain as far as inventory goes? And are you able to meet all the demand with everything that's going on in the supply chain? 
Sharon John: I'll let -- Voin can add some color to this, but I'll start. I do want to note that you might have noticed in our remarks that we have seen a decrease in inventory. I want to note that, that was a planned decrease in inventory, and that is not related to anything with the supply chain. As we're going forward, I'm sure you're aware that we have diversified our factory base, but we still have a significant portion of our product that is manufactured and shipped from China, so the Chinese manufacturing facilities did not reopen until a few weeks after, what would have been a natural closure during the Chinese New Year's period. So there are some delays. Although we -- right now, particularly as it relates to The Child, we've reconfigured a lot of our supply chain to move more into some of our Vietnam areas, and we feel like that we are starting to -- well, actually know, we started to see some flow. Whether it impacts us going forward, it really is more related to how long this persists. 
Operator: There are no further questions at this time. I'd like to turn the call back over to Sharon for any closing remarks. 
Sharon John: So thank you for joining us on today's call, and we look forward to updating you on our first quarter results at the next earnings call. 
Operator: Thank you. This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation, and have a wonderful day.